Operator: Good day, ladies and gentlemen, and welcome to the Urban Outfitters' First Quarter Fiscal 2016 Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct the question-and-answer session and instructions will follow at that time. As a reminder, this call is being recorded. I would now like to introduce Oona McCullough, Director of Investor Relations. Ms. McCullough, you may begin.
Oona McCullough - Director-Investor Relations: Good afternoon, and welcome to the URBN first quarter fiscal 2016 conference call. Earlier this afternoon, the company issued a press release outlining the financial and operating results for the three-month period ending April 30, 2015. The following discussions may include forward-looking statements. Please note that actual results may differ materially from those statements. Additional information concerning factors that could cause actual results to differ materially from projected results is contained in the company's filings with the Securities and Exchange Commission. We will begin today's call with Frank Conforti, our Chief Financial Officer, who will provide financial highlights for the quarter. David McCreight, Chief Executive Officer, Anthropologie Group will provide a brief update on the Anthropologie Group. Richard Hayne, our Chief Executive Officer, will then comment on our broader strategic initiatives. Following that, we will be pleased to address your questions. As usual, the text of today's conference call, along with detailed management commentary, will be posted to our corporate website at www.urbanoutfittersinc.com. I'll now turn the call over to Frank.
Francis J. Conforti - Chief Financial Officer: Thank you, Oona, and good afternoon, everyone. I will start my prepared commentary discussing our fiscal year 2016 first quarter results versus the prior comparable quarter. Then I will share our thoughts concerning the remainder of the year. Total company sales for the quarter increased by 8% to a first quarter record of $739 million. This sales increase was driven by a 4% Retail segment comp, a $20 million increase in non-comparable sales, including the opening of six net new stores and 18% growth in Wholesale sales. Please note that currency negatively impacted our sales growth rate, by approximately 140 basis points for the quarter. Within our Retail segment comp, the direct-to-consumer channel continued to outperform stores posting positive gains driven by increases in sessions, average order value and session conversion. Negative comp store sales resulted from decreased transactions and units per transaction partially offset by higher average unit selling prices. By brand, our Retail segment comp rate increased by 17%, 5%, and 1% at Free People, Urban Outfitters, and the Anthropologie Group, respectively. This marks the second quarter in a row all brands have posted positive Retail segment comp sales growth. Free People Wholesale delivered another strong quarter as sales grew 18% to $54 million. These results came from double-digit sales growth at department stores and the international business. Additionally, I want to note that due to some fulfillment center transition challenges at our Trenton, South Carolina distribution center, we were unable to process all of our quarter-end demand which pushed a little more than $2 million of sales into the month of May. Now moving back to total URBN results, gross profit for the quarter was up 3% versus the prior comparable quarter to $246 million. Gross profit rate declined by 141 basis points to 33.3%. The decline in gross profit rate was primarily due to lower initial merchandise margins at the Urban Outfitters brand and higher delivery and fulfillment center expenses across the entire company. The deleverage in delivery and fulfillment expenses were partially due to the increases in direct-to-consumer penetration and incremental costs associated with the beginning of the South Carolina fulfillment center transition to Gap, Pennsylvania. Total SG&A expenses for the quarter increased by 8% to $193 million. Total SG&A as a percentage of sales deleveraged just slightly by 13 basis points to 26.1%. This minor SG&A deleverage was primarily due to increased marketing expenses, which were used to drive higher direct-to-consumer traffic. Operating income for the quarter decreased by 11% to $53 million with operating profit margin deleveraging by 154 basis points to 7.2%. Net income was $33 million or $0.25 per diluted share. Turning to the balance sheet, inventory increased by 14% to $398 million. The growth in inventory was primarily related to the acquisition of inventory to support the Retail segment growth as well as new and non-comp stores. Comparable Retail segment inventory increased by 8% at cost while decreasing 5% in units. I wanted to take a quick moment and comment on the inventory increase in a bit more detail. By brand, the Urban Retail segment comparable inventory in North America is well controlled and actually in a negative position on a cost and unit basis. The driver of the increase in URBN Retail segment comp inventory is the Anthropologie brand and it is being driven primarily by the investment in home product. Home inventory is double-digit comp positive as the brand begins to build their home inventory for their upcoming catalog drops and increased home marketing efforts. The past two home catalogs have performed well, and we sold out of many items in a few weeks, so the brand is making a larger investment in inventory to more closely align it with the anticipated demand. We ended the quarter with $357 million in cash and marketable securities. During the first quarter, the company repurchased and retired 402,000 common shares for approximately $17 million. We have 21.9 million shares remaining on the two most recent board of directors' authorizations to repurchase shares. As we look forward to the remainder of fiscal year 2016, it may be helpful for you to consider the following. We are planning to open approximately 31 new stores during the year. By brand, we are planning approximately four new Urban Outfitters stores in North America, 13 new Anthropologie stores globally, including one new European store and 14 new Free People stores in North America. Our gross margin rate for the second quarter could deleverage versus the prior year, similar to the rate of deleverage experienced in Q1. This deleverage could be driven primarily by costs associated with the transition of our East Coast DTC fulfillment center. This deleverage could occur, despite the planned improved margin at the Urban Outfitters brand. The planned Urban brand improvement could be offset by increased markdowns at Anthropologie, while they address some product misses in a few of their women's apparel and accessory classes. Due to Anthropologie's sales slowdown at the end of April and the uptick experienced in May to date, it is not clear at this point what level of markdowns Anthropologie will incur during the second quarter. On an annual basis, we believe there is potential for approximately 25 basis points to 50 basis points of year-over-year improvement in gross profit margin. This potential improvement is inclusive of the one-time fulfillment center transition costs. Based on our current plan, we believe the DTC fulfillment center transition will negatively affect our annual gross profit margin by approximately 50 basis points. Our new state-of-the-art 1 million square foot facility will begin phasing in outbound service to the customer in June; therefore, the second quarter is expected to be the most negatively affected by our transition. Based on our current plan, we believe SG&A could grow at a high-single-digit rate for the year. This increase would be driven by DTC investments related to marketing and technology and selling support investments to support our new store growth. As I noted earlier, the effects of foreign currency translation resulted in approximately 140 basis point reduction to sales and 30 basis point reduction in operating profit. If today's rates held constant, all else in the business held constant, such as shares outstanding and planned profit rates, we believe foreign currency translation could negatively affect our earnings per share by approximately 2.5% for the full-year fiscal 2016. This would be based on our current business in the Canadian and European markets. Capital expenditures for fiscal year 2016 are planned at approximately $150 million to $160 million driven primarily by new stores and the completion of our new East Coast fulfillment center. This facility is all but complete, and we have begun testing it in preparation of the beginning of our transition in June of this year. Finally, our fiscal year 2016 annual effective tax rate is planned to be approximately 36.25%. As a reminder, the forgoing does not constitute a forecast, but is simply a reflection of our current views. The company disclaims any obligation to update forward-looking statements. Now, it is my pleasure to pass the call over to our Anthropologie Group Chief Executive Officer, David McCreight.
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Thank you, Frank, and good evening to everyone. For this call, I will provide an update on the Anthropologie Group, including recent results, highlights and upcoming milestones. The Anthropologie Group has delivered 11 consecutive quarters of positive comp revenue growth, and I remain confident that continued comp growth is available to our brand when we execute well. This first quarter's 1% comp is a disappointment and a bit of a surprise as we had a stronger comp performance going into April. We have read commentary about weather and port delays impacting performance, but our Q1 results are mostly the by-product of how we pleased her with our product and creative offers. Throughout the quarter, many areas showed solid to very strong growth; however, a few merchandise categories were not as well received and impacted the result, most notably dresses and accessories. Dress shortfalls came from missed opportunities in a few key silhouettes, fabrics, and price points, as well as insufficiently addressing our more casual customer. Certainly correctable, if not downright avoidable. In comparison to the styling misses in dresses, accessories has underperformed to the sizeable opportunity we have to participate in our customer's purchasing of accessories. We have adjusted the team and the strategy and look for improvement in the back half of the year and continued expansion of accessories in the future. While we are not satisfied by our 1% comp, the quarter did contain many areas making nice progress. In fact, most apparel categories did well. The home initiative is right on schedule, our Anthro-file grew double-digits over last year, and our customer is demonstrating increasing comfort with our ability to please her across a variety of channels. Bhldn continues to sparkle, delighting brides and wedding parties and Terrain has made in-roads in broadening their offer and leveraging the opportunities associated with Anthropologie. The Anthropologie Group growth strategy remains as last reviewed during September's investment day. Consistent with the URBN Vision 2020, we are investing in talent, infrastructure and processes that will allow us to fulfill the potential for our multi-billion dollar lifestyle brands. Apparel remains a vital part of our business and growth strategy. We are constantly evaluating our capabilities and analyzing her evolving needs, ensuring our design, production, and merchandising teams are interpreting and executing on point. As a result we are looking to add talent within the apparel team and reduce the lead-time necessary to bring our product to market. We are in the process of restructuring the way that we design and merchandise and the teams work together. Based on the success of the Free People brand, and as we've already done in the Anthropologie home area, we are adopting Meg Hayne's concept of concept-to-customer approach to creating our apparel offer. As we improve our current apparel and accessories offering and shorten lead times, we expect to take full advantage of the opportunities presented digitally and realize new approaches to how we can merchandise our stores. Since Bhldn joined the Anthropologie Group three years ago, we have been able to refocus on product and creating magical moments for our brides. With strong leadership guiding the development of our archetypes and the power of Anthropologie behind them, sales at Bhldn have skyrocketed. Our unique and inspiring gowns has resonated with thousands of brides, and in the coming year, we will turn an eye to bridal party styles, with dresses and separates for bridesmaids and mothers. While the product has found its sweet spot, the store experience has also evolved nicely through the shop-in-shop model. With six shop-in-shops, we are able to reach more customers and cultivate more brand fans than ever before. Additionally, Bhldn's location on the Anthropologie's website has increased nationwide awareness. As a result, Bhldn has seen almost triple-digit sales growth this past quarter and is driving incremental bottom-line dollars to the business. With Terrain joining the Anthropologie Group, we expect to see a similar path to success – evolving their creative brand experience across all media, strategically building out our digital offer and leveraging the resources of the Anthropologie Group. All early signs show that Terrain is a natural life-stage extension for our core customer. When I spoke to you eight months ago, I outlined our vision for building a home company within the Anthropologie Group and the impressive scale the opportunity presents. Focusing on decorating and entertaining, leadership has made excellent progress with the home assortment. Last year, over 1,500 new styles were introduced and the new product is resonating with the customer, enabling the entire category to achieve double-digit comp sales within the quarter. Since the launch of expanded offer and new design concepts, demand for our new home offer has exceeded our expectations, with the biggest wins in unique items that she can't find elsewhere. As we learn more about her taste preferences and the longer demand curves for home, it is nice to see the team also making progress building relationships with key domestic partners to expand our drop-ship offer in the furniture, rug, wallpaper, and curtain categories. In order to fulfill the rising demand, we continue to invest in our home business – we continue to build the team, redesign our digital home presentation, create new home journals, and analyze our logistic capabilities. In fact, some of you may find our newest home journal in your mail box today. Please take a look and let me know what you think. Alongside these major category expansions comes commensurate investment in digital and infrastructure capabilities. As the Anthropologie brand fans grow increasingly comfortable visiting our digital contact points, we are committed to providing a best-in-class experience, from look-books and inspirational content, award-winning social to reliable shipping and customer service. The growth of home décor calls for specific digital solutions to make the online experience easier to be inspired and shop. Starting this month, we will introduce home website developments, including improved navigation, enhanced delivery service and rates and more inspirational content. Also, the recent launch of our registry service has attracted thousands of brides. I'm very satisfied with the rapid embrace of brides creating a gift registry within Anthropologie. In addition to fulfilling our home potential, the registry has helped to provide a gateway to the brand, with over 40% of gift-givers being first-time Anthropologie shoppers. And while the digital experience is more important than ever, that does not mean we are resting on our previous success in stores. The largest part of consumer commerce still occurs in stores. Our customers still want to touch and feel our product, be inspired by our spaces and interact with our delightful associates. We know how important the store experience has been to shaping our brand, and we have a best-in-class experience that is compelling and very profitable. But our brand fans relationship with the store experience is changing. The Anthropologie Group is evolving, with growing product categories and new brands under our umbrella. As we observe her behavior, we are excited by the opportunities ahead for the Anthropologie Group in providing one of the richest multi-channel, multi-media brand experiences in the world of retail. In addition to investments we have made in DTC and social platforms, we believe that it is vital that our store experience remain remarkable and relevant. As we shared with you in September, we plan on rolling out this new experience next year with our first large format store scheduled to open in May; one where we can bring new experiences, expanded product offers and services. Our home expansion is on track, the beauty assortment and services are well underway; Bhldn and Terrain continue to flourish; and we've been hard at work on our multi-channel service model. Most importantly, we think our new large format initiative is in perfect alignment with the direction our customers are headed, and one which will support Anthropologie Group's growth well into the future. At URBN we are continually challenged to listen to our customer, develop creative ways to engage her efficiently. It is unusual to be part of a group whose brand reach exceeds that of an already sizeable business. I'd like to thank Dick and URBN shared services for their encouragement and support for investing in the Anthropologie Group. We have a beautiful customer, beloved brand, and a very profitable business model. We are proud of our recent successes, excited by the early results of our new initiatives, and eager to see the new categories develop as we head towards our goal of doubling the size of our brand business. All of this is made possible by the passion and talents of our people, both at the home office and the 5,000 plus associates in the field that make Anthropologie Group story so compelling and unique. Thank you for your time this evening, and I will now turn the call over to Dick.
Richard A. Hayne - Chairman, President & Chief Executive Officer: Thank you, David. While I was also disappointed with the Anthropologie results for Q1, I think it's important to remember that the brand remains one of the strongest in the world with extremely loyal customers, plus it produces operating margins that are the envy of most other retailers. It's also important to realize that the Q1 shortfall in planned sales happened almost entirely in the last two weeks of April. This is when the Easter shift and the change in the catalog drop date combined to negatively impact sales more than anticipated. Newly received product and the catalog drop in early May have improved Anthropologie sales so far this month. Finally, I'm very pleased to see the additional investments made last year in expanding the home category and the Bhldn brand are already bearing fruit. Sales in both categories are strong, and I look forward to watching both reach their full potential. David, thank you and thanks to the entire Anthropologie team for delivering a very good and a very profitable quarter. Let me now provide an update on the first quarter results at the company's other two brands. First, Urban Outfitters. I am happy to report that the Urban brand in North America continued to make solid progress during the quarter. Positive comps were driven by regular price sales throughout the quarter. Six of Urban's eight major product categories delivered positive, regular price comps including the all-important women's apparel division. Only the men's categories were down. Mark-downs, on a year-over-year basis, decreased by more than 200 basis points and the number of mark-down units owned at the end of the period versus the same date last year, dropped in half. However, on a year-over-year basis, lower initial margins in the first quarter nearly offset the positive impact of fewer mark-downs, so total maintained merchandise margins showed only slight improvement. The IMU issue, as we discussed last quarter, resulted from merchants ordering more products from the market combined with a change in customer demand in favor of lower margin categories. Ted, Trish and Meg pushed the Urban merchants to focus on improving their IMU, and I'm pleased to report that total April receipts showed slight year-over-year IMU improvement. We believe this will positively impact Urban's merchandise margins in Q2. In addition, the products on-order to be delivered in the second quarter carry an even higher IMU, which leads us to believe that the back half of the year could continue to show IMU improvement. Ending inventory at Urban, on a weeks-of-supply basis, was the leanest it's been in three years. So we believe there is opportunity for further markdown improvement in the second quarter as well. Across both channels, the Urban customer reacted positively to the product categories the merchants chose to distort. While the merchants reduced the overall style count by more than 20% on a year-over-year basis, they increased the number of styles and the depth of buy in selected classes. These two factors – a decrease in total style count and an increase in distortion – have allowed the merchants to own less total inventory and still generate more sales. Store initiatives, such as reducing redundant styles, establishing category shops and elevating customer service levels, have improved the overall shopping experience. The Urban stores are now less cluttered and easier to shop than last year at this time. The team will continue to refine these initiatives on a go-forward basis as part of an effort to better please the customer and improve four-wall profitability. In the direct-to-consumer channel, better product and many initiatives drove strong increases in DTC sessions and customer demand. These factors also produced double-digit increases across all customer groups, new, retained and reactivated. The amazing 40% year-over-year growth in reactivated customers is especially important as it verifies our antidotal evidence that Urban's core customer has returned to the brand. In summary, the Urban brand has made significant progress over the past 12 months; major improvements have been achieved in the following areas. The process by which inventory is planned, allocated and controlled; the process by which products are designed, selected, ranked, and purchased; the product quality and the range of price points offered; the store experience; and the digital experience, especially through better imagery and content. Above all, teamwork and communication across various home office functional areas have improved significantly. While there is still much work to be done to return the Urban brand to the level of profitability we believe it's capable of producing, I believe many of the people and processes necessary to accomplish this work are now in place. Congratulations to Ted, Trish, Meg and their teams for orchestrating these improvements and reinvigorating the brand. Turning to Free People, once again, the team produced record first quarter results, delivering double-digit sales gains and record operating profits. The brand continues to amaze by registering stellar growth against multi-year difficult comparisons. This was accomplished by offering highly compelling product in wildly engaging shopping experiences, both in stores and online. The combined Retail segment delivered a powerful comp sales increase of 17% during the quarter. This is on top of the 25% increase in the same quarter last year, and a 44% comp in the year before that. The brand recorded strong growth across all three distribution channels. As with our other brands, the standout channel was direct-to-consumer. Customer demand continues to grow from retained, new, and reactivated customers as the brand continues to enhance its marketing programs. Within the direct channel, mobile devices now account for over 50% of total traffic and nearly 30% of sales. The brand continues to explore new ways to further engage the customer and create a stronger digital community. We eagerly await the completion of the Free People Rockefeller Center store expansion. When completed in June, this store will become the largest in the brand's portfolio, exceeding 6,000 selling square feet and will allow the brand to offer a full product assortment including the more recently launched categories such as: intimate apparel, shoes, special occasion dresses and, for the first time in a store, Free People Movement, which is the brand's activewear category. The wholesale channel continued its double-digit positive sales trend, delivering revenue growth of 18%, despite some distribution delays at the end of the quarter. Those delays stemmed from the transition of our fulfillment center in South Carolina to our new, larger facility in Gap, Pennsylvania, and resulted in slightly more than $2 million in wholesale shipments moving from Q1 into Q2. New and expanded product categories drove domestic Wholesale growth, while more doors in Europe, Canada and Asia fueled the international expansion. During the quarter, the brand opened six new international shop-in-shops, two in France and four in China. In all, the brand delivered another in a string of amazing quarterly performances. My thanks go to Meg, Sheila and Dave, and the entire Free People team. Now, let me say a few words about our customers' shopping behavior and what it means to URBN. For many years, we have repeated that the direct-to-consumer channel is growing and capturing a larger share of our customers' wallet. Three years ago, I predicted that in five years the direct-to-consumer channel would account for half of URBN retail sales. That prediction was met with some skepticism. What we now see is that the trend toward greater DTC penetration is not just continuing but is actually accelerating. If my prediction is wrong, it's only off by a year or two. Since 2001, when URBN launched its digital selling channel, DTC penetration has increased every year and the rate of growth of penetration has grown almost every year. Q1 this year was no exception. It showed our second largest DTC penetration gain ever. While stores continue to be a very important part of our business, there is no mistaking the fact that the customers' shopping preference measured by both traffic and sales continues to move to a virtual experience. As a result, we believe it is critically important for URBN to accelerate its investments in new and enhanced capabilities to support this rapidly growing and changing channel. These initiatives are focused in the areas of product, technology, marketing, logistics, localization and personalization. At the same time, we are accelerating our investments in virtual capabilities; we are slowing the number of new retail stores we open in the North American market. We have said consistently, that from a store location perspective, we believe both of our larger brands will be fully penetrated in the North American market when they each have 200 stores to 250 stores. Today, Anthropologie and Urban Outfitters operate 199 stores and 195 stores in North America, respectively. To be clear, we will still open some traditional stores, and we plan to open a number of larger format stores, but many of these larger stores will be replacements of, or additions to, existing, smaller ones. Finally, before I turn the call over for your questions, I would like to announce that Ted Marlow has informed me that he wishes to retire at the end of August. When Ted began his Urban career in 2001, the brand operated 43 stores in North America and two in Europe. Total brand sales that year were just north of $150 million. 15 years later, under Ted's stewardship, the brand operates 195 stores in North America, 43 in Europe, seven international concessions and runs multiple, international direct-to-consumer businesses. This year, the Urban brand is on pace to exceed last year's $1.4 billion in sales. That's incredible growth. Ted's loyalty to the brand and the customer is unwavering, and I am forever grateful to him for his service and his friendship. When Ted returned to the business in the spring of 2012, he told me he only wanted to work for a few additional years. There is no way any of us could have anticipated how tumultuous those three years would be for the brand, but in true Ted Marlow style, he hunkered down, fought through the adversity and came out on top. So Ted, on behalf of the board, your entire Urban Outfitters team and all URBN employees, I thank you and wish you and Sara the very best in the future. That concludes my prepared remarks. I extend my thanks to all URBN associates and shareholders around the world and now turn the call over for your questions.
Operator: First question is from Lindsay Drucker Mann of Goldman Sachs. Your line is open.
Lindsay Drucker Mann - Goldman Sachs & Co.: Hi. Thanks, everyone. I was hoping I could ask a question. It's kind of a tough question, but one that I'm hearing from investors which is about the Anthropologie brand. And if we sort of stack up the news we've had from Anthro in the last few quarters, where we've seen decelerating comps increase, kind of calls to action, now a bit of a restructuring initiative internally in terms of how you're bringing product to market and just acknowledging that Anthro in the past has gone through periods of ebbs and flows. How do we get comfortable that the 1% comp this quarter and the broader deceleration we've seen isn't something like could be a little bit more protracted and require a bit more of a turnaround effort as we just went through with Urban? Thanks.
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Hey, good afternoon, this is David. I can't speak to what's transpired in the past, but what I can look at is our results. And as we mentioned earlier, we did not please her to the level and standards we expect for Anthropologie. That being said, our operating margins are still very healthy. We ended up taking more mark-downs we liked in the time, but we believe this is a very manageable to work through. We've talked about there are a lot of successes and we had particularly in the apparel and accessory area, a few classes that really sort of disappointed us and that led to most of it. Now, the moves we're making in terms of the restructuring or things that Dick's talked about strategically across all of URBN, and that's really reducing speed to market and talking about some other ways that we're going to be bringing the concepts to the customer that Meg has done so well across Free People and recently at URBN women's. So we feel very confident that this isn't, I guess, one of the more dramatic dips, but the customer certainly would tell us that in the future.
Operator: The next question is from Neely Tamminga of Piper Jaffray. Your line is open.
Neely J. N. Tamminga - Piper Jaffray & Co (Broker): Great. Good afternoon. So we wish Ted all the best, one of the greatest for sure. I was just wondering, Dick, if you could talk a little bit more about the leadership transition plan and what we can anticipate, who might be in the running for running that division. Thank you?
Richard A. Hayne - Chairman, President & Chief Executive Officer: Okay, Neely, sure. We have in place right now, Trish and Meg working in combination with Ted here in the North American group, and we have strong leadership now in the European group as well. And so I don't – we do have a search outstanding and we don't think that there is any issues in the interim if that search isn't filled immediately and so, we will proceed with diligence and take a look around with who is available and make the best choice for a global head of the international brand. And at this point, there are no contenders that are – that we are pursuing vigorously.
Operator: Thank you. Our next question is from Kimberly Greenberger of Morgan Stanley. Your line is open.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Great. Thank you so much. My question for David on Anthropologie, it sounds like there has been a tremendous amount of volatility here over the last six weeks or so. I'm wondering if herein May, Anthro is sort of back to the pre-April run rate and if you can be maybe just reflect on how quickly the adjustments that you've talked about in terms of correcting products, how quickly might we see that come through in the numbers? Thank you.
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Hi, Kimberly. Yeah, as Dick alluded to, the last half of April was particularly difficult. We had also had a shift in outbound catalog mailing that landed into the first week in May and May is off to a very strong start. That being said, we believe – it's hard to tell whether that is going to be more a result of the shift in marketing or the acceptance of the product offer. In terms of rebound we're expecting, we could see Q2 shaping up like Q1 in terms of low-single digit comps. We could also see being into the low-mid-single digit comps. It's hard to tell at this point. Our inventories, our comp inventories ended the quarter up in the mid-single digits, apparel was only up 2%, accessories was negative high-single digits, and we have – most of the investment is, as we alluded to earlier, investing in home and Bhldn. So we continue to watch it closely, and we're taking sort of a more conservative outlook even though we've had a good start to May.
Kimberly Conroy Greenberger - Morgan Stanley & Co. LLC: Thank you, David.
Operator: Thank you. Our next question is from Anna Andreeva of Oppenheimer. You line is open.
Anna Andreeva - Oppenheimer & Co., Inc. (Broker): Great, thanks so much. Good afternoon.
Richard A. Hayne - Chairman, President & Chief Executive Officer: Good afternoon, Anna.
Anna Andreeva - Oppenheimer & Co., Inc. (Broker): I was hoping to follow-up on gross margins, just trying to understand the magnitude of the miss during the first quarter. Was there any fulfillment expense for 1Q that wasn't anticipated previously? And looking into the back half, gross margin expansion is embedded pretty significantly, what kind of Anthropologie performance are you embedding in that?
Francis J. Conforti - Chief Financial Officer: Yes, Anna, this is Frank. No, I would say, the direct-to-consumer fulfillment center transition expense in Q1 was pretty much as we had planned. The lion share of the leverage was driven by IMU deleverage from the Urban Outfitters brand globally. And then, as David alluded to, we did have slightly higher mark-down rates and lower merchandise margins within the Anthropologie brand. So that's the answer to your Q1 question. As it relates to the remainder of the year, yes, based on our current plans, we believe we can achieve 25 basis points to 50 basis points gross profit margin improvement on an annual basis for fiscal 2016. This is inclusive of the one-time fulfillment center transition expenses. This would be driven by strong improvement in the Urban brand's merch margins. And it does include relatively consistent performance to the first quarter of this year for the Anthropologie and Free People brand. So keep in mind that Anthropologie and Free People delivered basically at or near record merch margins last year, and Anthro missed that number in their first quarter. That miss is baked into our annual basis plans, which does look for a 25 basis points to 50 basis points of improvement on an annual basis.
Operator: Thank you. Our next question is from Brian Tunick of RBC Capital markets. Your line is open.
Unknown Speaker: Yes, hi. This is Kayden (41:58) for Brian. Thanks for taking our questions. I guess, as you're implementing some of the structural changes at Anthropologie, can you just give greater color on what types of changes we should be looking out for in the stores and in the merchandise, as Meg's approach is rolled out? And then just – on a higher level, can you just kind of speak to on how you're thinking about the promotional strategy at Anthropologie go forward? Thank you.
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Yeah. So some of the things we're looking for is obviously making decisions closer to the time of delivery, so to improve our accuracy and that's something we've not done consistently well at Anthropologie. Also, we're going to be changing the way in which we design our products, so moving from three-month cycles to two-month cycles and then hopefully getting Dick's challenge as out to one-month cycle. We have a terrific partner in Barbara Rozsas and her team who are helping us work with our supply base to help us become more nimble. And then strategically as you look at the product offer, there is just a very different approach to design and laying out the line that's much more strategic and much more comprehensive than being concept based in the past, that Meg has done very well, I think led the group in Free People recently at Urban women's, and we've adopted a similar approach to the launch of the new strategy at Anthro home off to a very good result.
Unknown Speaker: Great. And just any thoughts on the promotional strategy?
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: We're always looking to balance promotions and customer response and inventory levels. And as the product merits it, we'll have less, and as product – as inventories build, we'll have more. So as we look forward the month of May and the – it'll depend on how the customer responds to our product.
Operator: Our next question is from Mark Altschwager of Robert W. Baird. Your line is open.
Mark R. Altschwager - Robert W. Baird & Co., Inc. (Broker): Hi, good afternoon, and thanks for taking the question. So just following up on Anthropologie. The brand has really done a commendable job differentiating itself in a crowded apparel landscape over the last couple of years. Does more competitors chase the Anthro look or aesthetic? How do you think that has impacted the trends you're seeing in the spring? And bigger picture, how do you continue to differentiate the brand moving forward? Thanks.
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Thank you. Our customer remains very loyal. My tours in the stores, even last weekend, and talking to customers, they're looking at Anthropologie and we have a very engaged customer base, because of the wonderful, experienced engaged associates we have, and some progress we've made in digital and social channels. That being said, we can improve every one of those and have teams laboring to do that. We're probably our own worse critics. We do not believe it is to do with external sources and forces, because we had many categories that actually outperformed where they've been in the past. So she's in there and engaged with us, our house file is up, our social engagement metrics are up and all the categories that are performing are telling us she's there and it's just up to us to please her more better.
Operator: Thank you. Next question is from Janet Kloppenburg of JJK Research. Your line is open.
Janet J. Kloppenburg - JJK Research: Hi, everybody, and congratulations to Ted. Just a question on Anthropologie and then one on gross margins. I noted you (45:25) said you're unsure, from May cutoff, if May's improved performance has more to do with, I think, a shift in some marketing as opposed to better product, but perhaps you could comment on how the casual dress business is performing and if you're more confident in the assortments, the casual dress assortments. And Frank, I'm a little confused or unclear on the gross margin guidance. I think on the first call you – first – fourth quarter call you had outlined a plan for gross margins to be up 100 basis points this year. Now, I think you're saying 25 basis points to 50 basis points. Is that largely reflective of the higher markdowns expected for the first and the second quarters and with the second half gross margin outlook pretty much as it was when you talked (46:22) on the fourth quarter call?
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Hi, Janet. It's David on the first part.
Janet J. Kloppenburg - JJK Research: Hi.
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: To your question regarding Anthropologie and the trend, like we were saying, May has been strong start, but we want to remain cautious so that's not due to the marketing – a shift in marketing. We do not feel that we've done a particularly good job on the casual side, notably in dresses and we do not believe those are really corrected intels to (46:48) the receipts in late June, which will get to our floors through late June and July, as we do go forward, it also has an opening price point opportunity as well that will be addressed at that time period. Now, I'll turn it over to Frank.
Francis J. Conforti - Chief Financial Officer: Janet, this is Frank. Yes, you're correct. Our original guidance for looking for 100 basis points of improvement for the year has come down. We are looking for being able to planning to achieve 25 basis points to 50 basis points of improvement gross profit margin for the year. Obviously, all assuming if we execute on to our plan. As it relates to – and because – I'll answer the second question, because I assume some other people are going to ask it as well, as it relates to the Q2 plan, and I think the first thing I want to say is, please be aware that, there is a lot of moving pieces and some unknowns as we think about the second quarter. We have our largest fulfillment center transition in the history of the company going on. The Urban brand is improving. We have some growth rate uncertainty with regards to the Anthropologie brand and some of the largest currency fluctuations in some time in many of the international countries that we operate in. With all of that said, and in consideration, yes, we believe gross profit margin could be down similar to Q1 in the second quarter, although I would say, the composition of what is driving this deleverage could be different from Q1. As we said earlier, we believe the largest driver of deleverage could be our delivery and fulfillment center expense, related to the transition from South Carolina to Pennsylvania. As we said a quarter ago, we believe the expense related to this transition will be approximately 50 basis points for the year, with the second quarter being the quarter that's the most significantly affected. As of right now, based on our plans, we believe Q2 could be negatively affected by somewhere in the range of 100 basis points for the second quarter. So hopefully, that helps a little bit.
Operator: Thank you. Our next question is from Simeon Siegel of Nomura Securities. Your line is open.
Simeon A. Siegel - Nomura Securities International, Inc.: Thanks. Good afternoon. So given the clear success of the online channel, can you talk to the recurring impact to margins as that penetration grows? And then just can you give any color on new store productivity for the different concepts, maybe remind us where you see international opportunity just in light of the minimal international openings this year? Thanks.
Richard A. Hayne - Chairman, President & Chief Executive Officer: Yeah, Simeon, I think that the DTC, as it grows, there is some additional expense that has incurred with marketing and there is also additional expenses incurred with delivery. But in general, DTC is a more profitable channel than the store channel. We see the stores continuing to grow as I said in my prepared remarks. We are slowing that, because we believe that we're nearly fully penetrated in North America, but we've realized that we are relatively un-penetrated in the world. So we will continue to open stores internationally. We're doing that slowly, because we believe that there is a lot of learnings that we have to go through before we can do it consistently and with the right return. But, as you know, in North America, there is a growing issue with traffic in the stores and traffic in the malls. And we see as rents continue to escalate and the traffic goes down, there is a squeeze in occupancy costs. And we are right now engaged in a number of initiatives trying to offset that. So that's where we are with the different channels.
Operator: Thank you. Our next question is from Marni Shapiro of The Retail Tracker. Your line is open.
Marni Shapiro - The Retail Tracker: Hey, guys. Congratulations. The stores really at Urban look fantastic and Free People, and even Anthro at home. So I did want to stick with Anthro for just a quick question. You talked about accessories being a miss, and I wasn't clear. Did you say that it was a miss to plan or was it a miss to the opportunity? And then just following up on that, where do you see the biggest opportunity to grow accessories in Anthropologie away from footwear and personal care, I guess where do you see the biggest near-term opportunity there?
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Hi, Marni.
Marni Shapiro - The Retail Tracker: Thanks.
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: The miss was to both plan and the opportunity. We had a taken a conservative view into the plan and it had missed us. We believe accessories as we talk to our customer and study her, that is still a very strong part of her shopping behavior and we would say across almost every category we currently exist in, it could be many fold larger and very profitable that could be jewelry, footwear, we're still very in nascent stages and have had some recent success, bags and the balance. So we tend just to look at where she is engaged and spending and where the brand has permission to grow and we think accessories will play a role in the future for Anthro.
Operator: Thank you. Our next question is from Adrienne Yih of Janney Capital Markets. Your line is open.
Adrienne Eugenia Yih-Tennant - Janney Montgomery Scott LLC: Good afternoon. Ted, I know you're here through the end of the year, but you'll be leaving on a high note for sure. I want to know if there was – you didn't speak to any port impacts, so I was wondering if there was anything there. And then for Frank, can you just quickly talk about; give more detail on the IMU visibility? It sounds like the second quarter IMU at UO should be up, but then wholly offset by the fulfillment coming into play. So how should we think about the back half of the year? Should we think of those two components being flat in the third quarter and then up in the fourth quarter? Thanks.
Richard A. Hayne - Chairman, President & Chief Executive Officer: Hi, Adrienne. This is Dick. As to the core impact on URBN in general, it was de minimis. We fly an awful lot of our products in, so they come by air and we weren't that affected by the ports. Probably the greatest area of affect was at Anthropologie, in the Anthropologie home area and that did impact us, because most of that comes in by boat. But, other than that, I would say the impact was minimal.
Francis J. Conforti - Chief Financial Officer: Hi, Adrienne, This is Franc. As it relates to IMU, you're correct that, based on the receipts and what we're looking at from a trend perspective right now for Urban North America, IMU looks to be essentially flat on a year-over-year basis in the second quarter. And based on the planned receipts and what we have on order looking outward into the back half of the year, we believe we are on pace and looking for nice, healthy year-over-year improvement. Obviously, not all of the back half of the year is bought yet, but certainly we see some momentum. And based on what we're planning on, we see nice improvement for the back half of the year looking at our current plans.
Operator: Thank you. Our next question is from Lorraine Hutchinson of Bank of America. Your line is open.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you. Good afternoon. Since much of the inventory – the excess inventory at Anthro was home; can you just comment on your comfort with the content? And then, also you talked about getting back into dresses by late-June, how long will it take to correct the accessories shortfall?
David W. McCreight - Chief Executive Officer, Anthropologie Group, Urban Outfitters, Inc.: Hi, Lorraine. The home initiative – the home strategy rollout, we've taken a very conservative approach and actually have really kept the purchasing quantities very low as we learn because home can be at times more difficult to clear. So we wanted to make sure we have dialed in the demand curves and understand there. And to-date it has – we've actually exceeded expectations and have had a number of millions of dollars in back-orders over time. So with this build up, we feel good from what we can tell so far. And that the inventory is well in line with the forecasted demand and recent demand, but again the customer will tell us, we don't see that as a risk point. Dresses is something that we're looking at chasing, the style reads and those gaps and again, we think the receipts will come in, in June and hit late-June in terms of selling obviously digitally and then the stores in early-July, and we'll be watching that go forward. And then your last question, accessories. Yeah, we're – as I mentioned earlier, we're making some – we've made some changes there, shoes has cut, we seem to have dialed in some of the shoe looks and appeal, and I'm primarily speaking to some of the work we're doing in bags and jewelry, and there we believe that we'll have a much better line of sight in fall.
Lorraine Maikis Hutchinson - Bank of America Merrill Lynch: Thank you.
Operator: Next question is from John Morris of BMO Capital. Your line is open.
John D. Morris - BMO Capital Markets (United States): Thanks. Congratulations, Ted as well, wish you all the best and good work on helping with the improvement there. Again, first question really for Frank, on the inventory, you did a great job giving a lot of clarification there. Can you tell us, what it would have been if you were adjusting for the Anthro home investment? And I'm just wondering also if the DC transition would have had an impact on that number. And then secondly, Frank also with your SG&A plan, I think you dialed that back a little bit. I'm wondering where the SG&A spending curbing. Good expense control where that might be coming from as you go from expectation of up double digits to up high-single digits? Thanks.
Francis J. Conforti - Chief Financial Officer: Hi, John. This is Frank. I'll take the latter part first. So you're correct, SG&A did come in lower than what we were planning for in the first quarter as the store business didn't deliver the comps that we had planned. We appropriately pulled back store controllable expenses. As we look forward to the remainder of the year, I do believe we are planning to execute to a high-single digit SG&A growth rate. So we are pulling that number down just a little bit from our low-single digit plan, which was discussed a quarter-ago. And when I say high-single digit, I'm implying high-high-single digit. So just under double digit for SG&A plan for the year. As it relates to inventory, I don't have the exact numbers in front of me, but knowing that where Urban North America was and being very lean and negative on a comp basis and with Anthropologie basically only being high positive in the home and the Bhldn categories, I would say we would have been in a low-single digit range. I can tell you that I feel very comfortable with the inventory position. Anthropologie, although they drove the increase in comp, their aging is actually favorable on a year-over-year basis. So they are very current, I mean, any mark-down exposure they would have would be just due to how the customers receiving the current content. It is not related to getting ahead of a sales curve here. So I think the magnitude of the potential risk for mark-downs is controlled there as it relates to the inventory investment. And I would also say, over the last few quarters, as we have begun to market and work on the home category in a more meaningful way, it has carried a very low mark-down rate as David and team have done a phenomenal job in executing that category.
Operator: Thank you. . Next question is from Barbara Wyckoff of CLSA. Your line is open.
Barbara Wyckoff Siris - CLSA Americas LLC: Hi, everyone, and my wishes to Ted on the great progress. Dick, should we be expecting to see more closings in the future given traffic continuing to decline, you closed a couple last year, rarely you do, so just thought – wonder about your thoughts on that.
Richard A. Hayne - Chairman, President & Chief Executive Officer: Okay, Barbara. You're right. We rarely close stores, and that's because most of our stores, almost all of our stores are profitable. So we don't really have any intentions to close stores right now. If traffic were to be depressed significantly, that might put us in a different position. But as of right now, almost every one of our stores is profitable on a four-wall basis, and there'll be absolutely no reason to close them.
Barbara Wyckoff Siris - CLSA Americas LLC: Great. Thank you.
Operator: Thank you. Our final question is from Oliver Chen of Cowen & Company. Your line is open.
Oliver Chen - Cowen & Co. LLC: Hi. Thanks, guys. Just regarding what we're seeing in the marketplace, we're pretty favorable on the Boho trends, as well as men's. So just, as you (01:00:33), what you saw in the quarter within – with respect to dresses, was it opening price points, and just could you give more detail on where and there could have been an improved situation? And also regarding men's at Urban Outfitters, if you could provide more details about your learnings there, and the opportunities going forward, we'd appreciate it. Thank you.
Richard A. Hayne - Chairman, President & Chief Executive Officer: Okay, Oliver. I'm not sure that Boho is the biggest trend right now, but in terms of the dresses, the Urban group had very significant success with dresses as has the Free People group. So most of what you see at the Anthropologie side in dresses is a miss on as David said, of some of the styling and also missing some of the opening price point items and missing, I guess, an assortment of silhouettes would be the best way of putting it, that might include Boho, but certainly isn't concentrated on that. In terms of the men's area, Trish, you want to handle that one?
Trish Donnelly - President-North America: Sure. Hi, Oliver. It's Trish. For about the past 10 months, Meg and I have been solely and almost wholly focused on women's. And we're in a place now, where while there is still a lot of work to do, we feel like we've got great talent and the team from both a marketing and design and merchandising standpoint. And we are now turning our attention to men's where we see some huge opportunity. So to really deliver the kind of product and experience that our core 18-year-old to 28-year-old customer deserves to see and that's what we're working on next.
Richard A. Hayne - Chairman, President & Chief Executive Officer: I would say, Oliver just to follow up on that, that our information is, is that, the men seem to be migrating to direct to the consumer channel a little bit faster than the women and that's not surprising because for many men it's actually a chore to go shopping. So we think there is a lot of opportunity in men's, but a lot of that opportunity is in the direct channel rather than necessarily in the stores.
Oliver Chen - Cowen & Co. LLC: Thank you. I would now like to turn the call back over to Mr. Richard Hayne for closing remarks.
Richard A. Hayne - Chairman, President & Chief Executive Officer: That concludes our remarks, and I thank you all for joining, and we'll see you in three months.
Operator: Ladies and gentlemen, thank you for your participation in today's conference. This concludes the program. You may now disconnect. Have a wonderful day.